Operator: Good morning, and welcome to the ANSYS Fourth Quarter 2008 Earnings Conference Call. All participants will be in a listen-only mode until the question-and-answer session of the call. Today's conference is being recorded at the request of ANSYS Incorporated. If anyone has any objections, you may disconnect at this time. I will now introduce your speaker for this morning's conference call, Mr. Jim Cashman, President and Chief Executive Officer. Please go ahead, Mr. Cashman.
Jim Cashman: Thanks a lot. Good morning and welcome to the ANSYS call for Q4 2008 and the fiscal year end of 2008. And with me today, as usual our CFO, Maria Shields. We will go through our usual outline of highlights of the quarter and the year-to-date at a high level. And then we'll go into greater depth on the operational results. Then we will go into a discussion of some of the qualitative factors which basically reinforce our long-term optimism, but given the rampant unpredictability of the current economic situation, we will also talk about our approach to maintaining solid earnings and structure without unduly hampering the long-term opportunity. In the course of this, Maria will then update you on our line item expense performance, balance sheet and cash flows. And after that we'll go into projections for Q1, 2009, and after discussing those topics we will be happy to respond to any questions you may have. So let's get started, Maria. If you would, our Safe Harbor statement, please.
Maria Shields: Okay, thanks, Jim. Good morning, everyone. Before we begin, I would like to remind everyone that our fourth quarter results include a full quarter of Ansoft operations. In addition to any risks that we highlight during the course this call, important factors that may affect our future results are discussed at length in our public filings with the SEC, all of which are also available via our website. Additionally, the company's reported results should not be considered an indication of future performance as there are risks and uncertainties that could impact our business in the future. These statements are based upon the company's best judgment as of today, and ANSYS undertakes no obligation to update any such information unless we do so in public forum. During the course of this call we will be making reference to non-GAAP financial measures in an effort to provide supplemental information to our GAAP disclosures, a discussion and full reconciliation of GAAP financial measures to comparable non-GAAP measures is included in this morning's earnings release and related Form 8-K. So with all that covered, I'll turn it back over to you, Jim.
Jim Cashman: Okay. Thanks. Let me just begin by saying that Q4 was a good quarter on a number of fronts. And in spite of everything that we faced, we still executed and delivered. The Q4 business results were slightly below our guidance on a revenue basis. But non-GAAP earnings turned out to be well above the guidance due to some of the precautionary controls that we had put in place through most of the past year, and then also some incremental tax benefits. As always, the numbers that we are using are non-GAAP, and historically consistent fashion. And just as a reminder for us, non-GAAP earnings include the add-back for purchase accounting treatment of acquired deferred revenue, acquisition-related amortization, and stock-based compensation adjustments for 2007, 2008, and these are detailed in our earnings announcement. So from a high-level perspective this was, again, a very good quarter. Even in these tougher economic times, and off a very strong comparable that included five seven-figure deals. For the quarter, we reported solid financial performance with non-GAAP revenues of $143.3 million. This represents a 29% increase from last year's Q4 of $111.2 million. This is a tad under our guidance of the $145 million to $149 million range but currency was all over the map to the tune of slightly north of $5 million in net negative impact compared to last Q4. Non-GAAP diluted earnings per share increased 14%, with non-GAAP EPS of $0.50, up from last Q4's comparable of $0.44. Now, I mentioned that the incremental tax benefits when we adjust for the incremental tax benefit in each of those quarters, the operational comparison is actually about $0.48, up from $0.40, or about a 20% increase. EPS performance was driven by steady non-GAAP revenues combined with business model adjustments that we made in connection with the Ansoft acquisition and in response to the economy. Just as in the past few years, both have been driven by increasing customer adoptions. But we are also aided by positive vectors in the Ansoft integration and our own long-standing disciplined approach to spending. Secondly, most of the major aspects of the business performed as anticipated. Each geography grew, and we had significant input from each major product line. We saw continued strong growths in operating margins, cash flows, and a stable business model. So basically almost every metric was positive there. We saw a fair amount of resiliency in our customer engagements that included expansion in our major accounts and the addition of many new customers. Equally important, our recurring base continued to be strong, even in these difficult times. We even saw a few of the seven-figure orders which contributed some new license business for the quarter, but disproportionately to building the deferred revenue balance. There was continued expansion of portfolio sales and cross selling, and something that we expect to cultivate with Ansoft over the next few years. Anecdotally, customers are still telling us that even in the tougher economic times there's a heightened need on their part for product innovation. So while this is far from bulletproof, they generally feel that they can not achieve this mission with lower end or less-capable solutions. So this is one of the major factors that's seen us through a wide range of economic conditions while still filling a critical customer need. We believe that the combination of this depth and breadth of our simulation capabilities combined with the power of a flexible and open Workbench platform put us in even better position to increase our market share and expand relationships within our existing and extensive customer base. So with that in mind, I will go into the operational highlights. And I guess before I go into the operational highlights, I would like to set the high level stage because there will be a number of different ways that we are presenting numbers. And I know everybody likes to look at them from a different perspective. So first of all, with the Ansoft acquisition we have some non-comparability in the quarterly numbers and, to a lesser degree, to an annual basis. So we are going to be talking in terms of both total numbers and organic numbers to provide that particular look. With the currency volatility, we experienced mostly negative effects, especially for the quarter. And we will explain this in terms of the actual and constant currency numbers. Q4, number three, Q4 of last year was an exceptionally strong quarter for us, particularly in paid-ups. Our guidance at the beginning of 2008 reflected that, and we actually exceeded that, so that the Q4 comparables should not be taken out of context. And yes, the economy. It has deteriorated since the beginning of the year. No news flash there. And it has slowed down the short-term pace of the order payment, but it really has not affected the pipeline or the long-term picture. So as we go through this, we will try to highlight all of that in terms of in non-GAAP numbers, the total business, organic business, and constant currency numbers. But in general, good quarter, good year, and still solid foundation to get through some difficult macro times. So looking at the operational highlights first, as I previously mentioned, our non-GAAP revenue for the quarter was $143.3 million. And again, 29% over the $111.2 million of Q4 in 2007. Again, I will remind you that these total numbers include the non-comparable of Ansoft revenues. On a core basis we grew at about 5%, or just under 10% in constant currencies again, organically. This is consistent with our guidance for the beginning of the year, and last quarter as our business plans had already factored in the lump effects of Q4, 2007. Our non-GAAP diluted earnings for the quarter grew 14% to $0.50, up from $0.44 per share in Q4 2007. These results did include a negative currency impact of about a penny. This exceeded the analysts consensus which marked the 45th consecutive quarter that the non-GAAP EPS has met or exceeded consensus. Overall non-GAAP operating margins for the quarter were 49%, which represents a blended rate with Ansoft. There were some positive integration efficiencies included there. But the majority of this was from our own economic defensive measures that we started to put in place. Non-GAAP gross margins were at a healthy 89%, pretty much the same story as with the operating margins. We also saw continued strong cash flows from operations of over $61 million, which is a 48% increase over the $42 million of last Q4. Looking at the whole year, for the year ending 2008 we reported total non-GAAP revenue of $493 million or 27% increase over the prior year. Again, this number includes a five-month contribution from Ansoft, but excluding that, the organic growth was 16%. Software license business was disproportionately strong, but the maintenance and service revenue also grew well, particularly the software enhancement subscriptions. The year-to-date non-GAAP EPS was $1.76 which is a 31% increase over $1.34 in 2007. For the year, non-GAAP operating and gross margins were 48% and 87%, respectively. These are both an improvement over 2007. The cash flows from operations were over $196.7 million for the year, which is a 55% increase over the comparable of 2007. So with those high-level things, we can now take a look at the picture from a variety of different perspectives as we historically do, from category business, geography, customer, product line kind of standpoints. And let's start with category business. Overall the consolidated non-GAAP software license revenue grew 21% for the quarter and 25% for the year. On an organic basis, these were 2% for the quarter and 16% year-to-date. Total paid-up licenses grew at 30% for the quarter or slightly down organically due to the new license contribution of those major events that we talked about from last Q4's mega orders. And also due to the strong negative currency effects. For the year-to-date, paid-up growth was 37%, and an 18% organic. Lease business grew 13% for the quarter and equaled about 33% of total business. This reflects a slight shift due to the historical Ansoft business being non-lease. For the organic business, it grew at 8%, and for the year-to-date, it grew 17% and represents 36% of total revenues. The lease business may be something that we could see trending up, given the current challenge that some of our customers face relative to access to capital budgets. But this is just another element of the flexible model that allows us to meet the business needs of customers and allows us to build the foundational strength of the company. Total maintenance and service grew at about 46% for the quarter, and 31% year-to-date, or 10% for the quarter, 15% year-to-date organically. The peer software maintenance and enhancement subscription portion of that grew at 59% for the quarter and 42% for the year-to-date or 14% and 21%, respectively, for the organic business. The peer services element was around 4% of total revenue and about 5% for the year. While we saw growth across all of our major product lines, many high-end products grew at double digits for the quarter and the year. Our direct and indirect businesses both performed fairly well. There's a 74% direct, 26% indirect split. This reflects a very consistent organic performance was above in favor of direct, largely related to the direct nature of the Ansoft business. Ultimately, portions of this business will be adopted by the channel after certification and business plans are worked out. But minimally, in the short term as technical incompetencies will need the business plans to be developed, so it will take a little bit of time there. But this is something that historically we have done with all the new technologies that we acquire. Business intake grew comparably to revenue at about 28% for the quarter. For the year, intake grew at 30%, which exceeded the revenue growth, you know, basically a good leading indicator there. This contributed to a rise in deferred revenue to 39% as compared to last year's Q4 of $173.9 million. Our strong repeatable business base remained at a healthy 66%, even on this larger base of business. And that compares to 65% at this time last year, even including the less-visible Ansoft component. The consistent ability to maintain the solid base of the recurring revenue or repeatable revenue is one of the hallmarks of our business model and a foundation for navigating tough economies. And we believe this is a result of the long-term commitment we have had to R&D that is ready to sell, even in these unpredictable times. This has driven our product leadership which, in turn, allows our customers to solve increasingly complex design issues. We have a solid balance sheet and strong cash flows, as I mentioned $61.7 million for the quarter, $196.7 million for the year. And these strong cash flows afford us flexibility in dealing with accelerated debt buy down, ANSYS share repurchase or economic insulation as needs may dictate over the short and long term. Geography, actually very much in line with the general discussion that I gave earlier on revenues. We are quite pleased to maintain this, even with the volatile economy and currency effects. Specifically, every geography grew. You know, basically in core terms, absolute constant currency terms, although some of the metrics were in single digits. We were pleased, with all the chaff going on around us in Q4, and absorbing over $5 million in net negative currency impacts. North America increased at 30% for the quarter, and 21% year-to-date. As North America was the main portion of the large over achievement last Q4, the organic growth was only about 1% for the quarter and 8% for the year. The performances of our direct offices were largely driven by major customers and outpaced that with upper teens growth for the year. Major orders in North America and for the quarter came from a typical mix of both long-standing and new customers. The Honeywell, Pratt & Whitney, Boeing, Ford, Northrop Grumman, BAE Systems, Tyco, John Deere, Raytheon, Lockheed Martin, General Dynamics, Goodrich, Trane, Belcan, Aerojet, Westinghouse, Procter and Gamble, ConocoPhillips, Nvidia just to name a few. Almost two-thirds of some of this wound up in our deferred balance as we saw strong renewals and good lease component. Europe continued its impressive performance even in light of the obvious currency headwinds. For the quarter there was an overall 13% growth or 27% in constant currencies. For the year, we saw 24% growth or a little over 23% for the year, after factoring in the currency advantage in the first half of the year balanced by what we saw in the latter part of the year. For the quarter and the year, Germany and the Central Europe business led the way, while our French business was also quite strong. All regions saw in Europe saw adverse currency effects at the end, but the British pound was especially hard hit. Ansoft had a very nominal presence in Europe, so the quarter versus total in terms of currency impacts are relatively low. The largest deals in Europe included repeat customers and new ones such as Smegma, Ariva, [Fsue], Space Bausch, DCN, ALSTOM, Siemens, Messiah, Buggati, Azstarnet UK, Saudi Aramco, EDF, Vestas Wind Technology, EADS, Krylov Ship Building, Korolev Rocket and Space. So you see they are a mix of some usual companies as well as some new ones in particularly exciting areas. Our general international area continued to grow well but with a greater variation in currency and economy. The end was actually positive for us. Many currencies were relatively flat while others like the won were negative. The overall growth for the region was 57% for the quarter, and 43% for the year. Now keep in mind these include the quarterly effects from the Ansoft component, five months for the year in an Ansoft component. So unlike Europe, it has greater significance in the Asia-Pacific area. Nevertheless, the organic growth for the region was 13% for the quarter and 23% for the year. Japan grew at 49% for the quarter and organically at 10%. And for the core business, Japan grew at 19% for the year or about 10% ex-currency. Most of the rest of GIA grew in excess of those numbers, actually in aggregate, 60% for the year or about 28% organically. Key customer engagements in the region included Cummins, Wally Energy, Samsung, LG Electronics, Ishikawajima Heavy Industries, Infotech, Nippon Steel, Hitachi, Kawasaki Heavy Industries, Emerson, Petrobrass, Mitsubushi, Canon, Reiko, Konica, Toshiba, a number of companies along that line. From the worldwide list of large orders, but it's also evident in the smaller ones also. There was a continued trend toward all forms of energy optimization conventional, petro, nuclear, and alternatives. Additionally, the aerials related to heavy equipment, infrastructure, and materials also had an increase that might possibly build off of the various demands for increased infrastructure spending. Even in troubled industries such as automotive, we have seen increased interest in our multi-physics capabilities for alternate drives and systems for safety or efficiency, and even while they are sorting out broader issues of financial strengthening in the industry. So sometimes even going counter to the prevailing wins. Obviously, the inclusion of Ansoft into our portfolio serves these design initiatives well, and in all cases, even rapid understanding of very complex problems with extreme accuracy is essential. And that basically is the strength of ANSYS multi-physics and what we do. So the net of all this is continued industry breadth, accentuated by increasing interest in infrastructure and energy, both with and without stimulus packages. We are seeing increased penetration within our strong and broad customer base. The pipeline of new opportunities, it continues to be solid. And even in this, the challenging economic environment, we are seeing growing interest, although the paper flow process definitely has become more protractive. So there is little doubt of the long-term opportunity as evidenced by the continuing momentum that we have had both with existing and new customers. But in the short term, I'm going to add the caveat that even with this increasing interest there is also cause for constant vigilance due to the turmoil that's basically affected virtually the entire global economic environment. And this can sometimes positively, but lately adversely influencing the timings and patterns of customer buying decisions. And we have tried to factor that into our guidance. And we will continue to endeavor doing so going forward. So in summary, there was growth around the globe, real and constant currency, even in the tough climate. All areas had double-digit organic growth for the year. With the exception of North America which was in the high single digits as we mentioned before. And as you tell from the list of customer names, there was good industry and major account activities, and major accounts in particular were important to, in their contribution to the new license revenue, as well as for the deferred balance. So in short, there was performance everywhere, but there areas for improvement almost everywhere and areas of concern, particularly in this climate. So in light of this progress, we are very selectively ramping up elements of the customer facing organization in response to the available opportunity, but being really mindful of the turbulence out there. Now that was the geography. So if we cut into products mix. From the product revenue standpoint, we saw no surprises from either the trends or the guidance. The consolidated software license revenues grew by 21% in total and 2% organically quarter-to-quarter. Paid up software licenses were up 30% for the quarter and down 5% organically, again related to that the lump of those mega orders that we talked about before. For the year, paid ups were up 37%, and they were up 18% organically. Lease business stayed strong at 33% of the blended total. Now all parts of the product spectrum did well, good overall balance. Although the established Workbench enabled parts of our product line grew disproportionately well. This set of products, of course, gets expanded significantly with the upcoming R12 release. The software maintenance and enhancement subscription business grew at 59% for the quarter and 42% year-to-date. It was 14% for the quarter and 21% year-to-date in organic terms. High-end sales grew disproportionately as previously mentioned. But the bottom line is with the pressures that our customers are facing, they simply can't really compromise on the scope or accuracy of the solution to tackle the problems they are confronted with. ASPs for the quarter were stable, actually up over Q4 last year, and at the low end, ASPs were stable when adjusted for normal volume purchase schedules. We had mentioned last quarter that with the acquisition of Ansoft, and broadest, deepest set of our integrated simulation tools that's been driving the customer adoption, this continued to get broader and deeper. And to that point, integration activities started in earnest. And as of the beginning of this year, the sales teams are unified. Software revenues came in well, but it was complicated via the economy, integration effort, and even some details such as the changing of the typical Ansoft quarterly and annual boundaries. We have seen that some short-term dampening of Ansoft sales that have historically happened due to their overlaps with the electronics industry. But in the early stages, we are already starting to see some of the positive aspects of wrapping their capabilities into the ANSYS portfolio and business model. In fact, in the upcoming R12, we will even see some of the first signs of level integration. So, we are still excited about the prospects of being able to do complete product simulations across all industries with products that are increasingly a blur of mechanical and electrical effects. Essentially combining the simulation of form and function. It's especially key to be able to do this in an egalitarian plug-and-play manner in a CAD-neutral environment, the very CAD-neutral environment that exists in most of our customers and their supply chains and be able to do that with our many partners. So basically concluding this part, in summary, we had another good quarter and a great year by all metrics. It was above our organic revenue guidance from the beginning of the year and well ahead of our earnings guidance. And again, this was in spite of the economic surprises and currency downturns that happened in the later parts of the year. Both the quantitative and qualitative factors showed progress, and the results demonstrated our continued financial and market performance. We have been making good progress on Ansoft integration, our earnings and cash flow remain solid, which should serve to continue our investment patterns as well as to support the debt associated with the Ansoft acquisition. So we reiterate our long-term commitment to taking these markets to a new level and to continue our pursuit of meeting customer expectation and corporate commitments to all of our stakeholders. Basically our major customers and, you know, these are the premiere companies in the world, are telling us that while they might be slowing and reviewing IT spending in general, they are not pulling back on new product innovations or R&D. But they are telling us that things are taking longer for them internally and frankly, some of them are waiting to see the impact of various government interventions. But I will say renewal rates have stayed solid, and the gross pipelines have actually gotten larger. So we continue to drive toward our long-term vision, long-term optimism totally intact. But we are carefully watching the range of short-term factors out there. And we are taking proactive, defensive measures. Basically that means we will be using the same short-term caution that we have exercised positively during past difficult times. But we have taken them to greater levels due to the current situation. Specifically, we have been aggressively managing salary and headcount expense. And the whole range of discretionary costs of marketing, events, travel, and incremental IT infrastructures. And we are continually scale the company to the evolving realities of the business to solidify our foundation. Over the long term we have demonstrated our ability to grow the top line in accordance with the guidance. But also to maintain solid margins and an optimal earnings profile. And that's basically what we are taking to new levels going forward. With that, I will turn it over to Maria Shields, our CFO, and she will provide you with a more detailed look at our financials. Maria?
Maria Shields: Okay. Thanks, Jim. I'm just going to spend a few minutes to go through some of the financial highlights as they relate to Q4 and the annual expense results, as well as some balance sheet and operating cash flow highlights. So we will start off with cost of sales, excluding acquisition-related amortization, and the impact of stock-based compensation, which combined totaled $9.9 million, cost of sales for the fourth quarter totaled $15.5 million, compared to $15.4 million in the fourth quarter of '07. Which resulted in an overall non-GAAP gross profit margin of 89% for the fourth quarter. And on an annual basis, 2008 non-GAAP cost of sales, which excluded $28.3 million of acquisition-related amortization and stock-based compensation, totaled $53.2 million versus $56.5 million in 2007 resulting in an 87% non-GAAP gross profit margin for 2008. Looking ahead, we are currently targeting non-GAAP gross profit margin in the 87% to 89% range. Taking a look on the SG&A front for the fourth quarter, total expenses which, if you exclude $2 million of stock-based compensation expense, were $39.9 million that compares to $32.7 million in 2007. SG&A expenses, excluding $8 million in stock-based compensation, were $126.9 million compared with $108.8 million in 2007. Looking ahead, we plan to continue to make investments in areas that we deem to be critical to strengthening our global sales and business infrastructure to support improved productivity, scalability, and future growth. In the area of research and development, total expenses for the quarter, net of approximately $800,000 relating to stock-based comps, were $18 million, and that compares to $15.1 million in Q4 of last year. For 2008 the total investment in R&D, excluding $2.9 million of stock-based compensation expense, reached $68.7 million versus $54.4 million for 2007. Looking at 2009, we are currently targeting a low to mid teens range relative to our ongoing investment in R&D. For the fourth quarter and for 2008, we delivered a solid non-GAAP operating profit margin of 48.8% and 47.5%, respectively. Admittedly, these are above what we had planned coming out of the gates in 2008. In the previous calls throughout this year we have consistently communicated that we had consciously adjusted or held back on various aspects of our original 2008 planned spend, particularly in the first half in the anticipation of the Ansoft acquisition. And then subsequent to closing, as we worked our way through various integration issues. Given everything that's transpired since then in retrospect, those decisions helped to set the foundation for our strong operating margins and non-GAAP earnings performance in Q4, despite the macro economy. As is the case with most companies in the world today, we are aggressively managing our spending to maintain earnings growth in line with sales momentum. Having said all that, one of our top priorities has always been and will continue to be customer satisfaction. We are committed to continuing to deliver the most advanced simulation solutions to our customers. As you may have seen in this morning's earnings release, the fourth quarter results did include approximately $2 million or $0.02 per share of incremental tax benefits related to the reinstatement of the R&D credit in the fourth quarter. Looking ahead into 2009, we are currently planning for an overall non-GAAP consolidated tax rate in the range of 35% to 37%. For the fourth quarter, ANSYS reported non-GAAP EPS of $0.50, and that's on 93.2 million diluted shares compared to $0.44 on 81.7 million shares in the fourth quarter of '07. And for the full year, non-GAAP EPS increased to $1.76 on 86.8 million diluted shares versus $1.34 on 81.1 million shares in 2007. So to summarize, the key factors impacting our Q4 operational performance, we had organic revenue growth of 5% or 9% in constant currencies. This is off a very strong comparable Q4 of 2007. The Q4 results include negative impacts from currency of approximately $5.4 million at the revenue line and $2.1 million at the operating income level. We had strong gross profit and operating margins. Our results included a full quarter of revenue and profits from Ansoft but also included the negative impacts of the interest expense and the additional shares issued in conjunction with the deal. And we experienced an incremental $0.02 in tax benefits related to the R&D credit in the US, and that compares to $0.04 of incremental tax benefits in the fourth quarter of last year. Taking a quick look at the year-end balance sheet, it remains very strong. Cash and short-term investments at $234 million, consolidated DSO at a healthy 43 days, and we had record combined operating cash flows of $61.7 million in the fourth quarter and $196.7 million in 2008. This enabled us to pay down $76 million of the original $355 million in debt under a five-year credit facility that we entered into to partially fund the Ansoft deal. Effective February 1st, the debt carries an effective rate of LIBOR plus one. Which is expected to ultimately migrate to a lower rate tier as we utilize the operating cash flows to pay down the debt and reduce our leverage. And I also wanted to point out that we did enter into an interest rate swap agreement in the third quarter to mitigate the variability in the interest rate fluctuations on a portion of that debt. And the average rate going into Q1 is about 4.1% excluding amortization of loan fees. I would like to also remind everyone that we currently have an improved share buyback plan in place that allows for the repurchase of up to 3.4 million shares. We did repurchase approximately 368,000 shares in the fourth quarter at an average price of about $27.14. As we saw in Q4 and more importantly are projecting into 2009, given our level of international business, our 2009 results will be negatively impacted by currency, particularly on the Euro and British pound front, with some slightly positive benefits from the current rate on the Japanese yen. In our outlook we are assuming that rates stay in roughly the same range as the recent spot rates or in the $1.25 to $1.30 range for the Euro, $1.40 to $1.45 for the British pound and $0.90 to $0.95 for the Japanese yen. As rates continue to change in the future, we'll modulate our outlook accordingly and trust that you will also take this into consideration as you update your models and projections. Jim, turn the call back over to you.
Jim Cashman: Okay. Thank you. Okay. So to recap, first, above all, continued good, diversified financial performance of all the major parameters of the business revenue, earnings, margin, cash flow, business pace. Even in light of the current environment and hazier visibility. Secondly, progress on Ansoft integration. Third, sustained customer interest marked by activity on a broad front. You know, geographic, industry, commitment levels, albeit the customers going through increased discretion cycles themselves. And then a rapidly expanding product portfolio augmented by partnerships and relationships and technology distribution in customers. It's just dramatically increased with the inclusion of Ansoft. So the long-term outlook stays bullish even in light of the current environment. For 2009 we are adjusting our preliminary guidance from last year, based on the newest data and the undeniable market deterioration over the past few months. To begin, we are reiterating what we said last time in terms of the yearly contour, where Q1 will be restrained as customers sit on the sidelines to evaluate whether new government actions will be effective. Based on what we have seen, we are expecting some stabilization and improvement toward the latter half of the year but whole a lot. In the short-term, we will focus on effective revenue attainment, which is another way of saying pushing on the road. The focus will be on prudent growth and maintaining our earnings trajectory. To map it out, this means, first, the long-term premise and opportunity is still there, and we have the best technology to meet them. Secondly, we will be doing more aggressive cost measures, particularly those that don't hurt the long-term premise in response to the economic uncertainty. At the floor of assumptions we continue to have a solid business with good, recurring revenues, and marquee customer relationships, all of which combine for good net income and cash flows. We will be focusing on maintaining strong operating margins from about mid-40's early year to upper 40's at the end of the year, while continuing to build our annuity base of recurring revenues and expanding at the maximum rate allowed by the macro market conditions. So what does all this equate to in terms of numbers? Well, given the turbulence, our projections will have a wider spread than we usually do. For the quarter, we are looking at revenue range of $122 million to $130 million, which equates to an earnings range of $0.33 to $0.39, after absorbing the adverse currency. It should continue to modestly build throughout the year barring an unforeseen market surge or other directions. We don't know how quickly. We are currently projecting revenues in the $530 million to $590 million range again, which is a wider uncertainty spread than last November. Consequently, our earnings projections are in the $1.54 to $1.85 range. And reflects some of the cautionary measures that we put in place without sacrificing the long-term thesis. The guidance is cognizant of the number of unknowns out there. There are some things we have no control over; macro economy, government, tax policies, currency. But our guidance is based on the model that allows us to balance our cost structures. Again, without hindering any ability to capture revenue upside when it occurs combined with our repeatable business base, diversified, geographic footprint, and world-class customer base and our deferred revenues. We are utilizing the same business model that's allowed us to weather a wide range of economic situations over the last decade. So, we plan to focus on strong margins, good cash flow, and optimal earnings during that time. And as I mentioned, we are very selectively ramping up subsets of our models, particularly in the sales realm, to take advantage of market opportunities as they occur. So we will continually monitor shorter term market factors on a global basis as we demonstrated over the past few years. And with that, I am prepared to handle any specific questions that you may have.
Operator:  Thank you, Mr. Cashman. (Operator Instructions). Our first question comes from Greg Dunham with Deutsche Bank. Please go ahead, sir. Your line is open.
Greg Dunham - Deutsche Bank:  Thanks for taking my question. I do want to focus on that last bit about the winding the guidance range. Given the amount of leased business and the much smaller piece of now perpetual license business, I am getting to at least the 20-point swing in expectations. You mentioned that you are including some stabilization in the business, but not a whole lot. I think was your exact quote. My question is, what kind of close rates would you need to have, what kind of improvement in close rates would you need to have to hit your high end, and how much of deterioration in close rates would you need to have at the low end?
Jim Cashman:  Well, like I said, we were not predicting a whole lot of improvement or hoping for a lot of that. So we are building that in, the bottom line is there is unpredictability. And anybody that tells you there isn't should really be scrutinized. We have less unpredictability for many companies because of the recurring rate that we have built for year upon year. And we have also demonstrated over that same period the ability to capture any available upside revenue. So, our major customers are the ones that are most likely to invest. So, we have that and by this we are not placing any bets on how long or what those are. But with this we can buffer the short-term, be able to meet almost any demand. A couple things also to factor in is that by virtue of the Ansoft business being more skewed toward paid up, having a much lower base recurring rate that alone adds in certain levels of unpredictability. But you also have the same situations that are spread out by the macro climate. So, essentially we tried to build upon the [loans] we have with the recurring business space, holding some of the assumptions that we have seen in terms of close rates which are a little bit down, not expecting them to climb much in the first half of the year even. But in Q3, it's kind of a toss-up because we have said for years it's always that one with all the vacation patterns. It's slightly less predictable. And in Q4, starting to open up a little bit, hopefully by that time there is a little less sitting on the sidelines, to see what packages and interventions various governments are going to do. But, we are not expecting it, if there is a big, major positive change, we still have the products to be able to meet that. Obviously, software has to be done well in advance. It doesn't done on a three-month cycle. So, we are really prepared to take advantage of that. However, we are not building cost structures assuming that that's going to happen. We are doing it basically. Keep in mind, 37% of our 2008 business came in the form of paid-ups. So, we do have that which provides that unpredictability. That's the portion that's most affected by the uncertainty out there. But we are still basing this off a strong deferred balance and recurring revenue base. And as I mentioned before, we have not seen really even major, modest changes in the renewal rates or the commitment of that. So, all that nets out to the solid foundation, but again that we have to build cost structures that aren't based on a hope of when that economy might have. But we have got the products ready to go when it does happen.
Greg Dunham - Deutsche Bank:  So, one quick follow-up. I guess it sounds like you are not baking in a big second-half recovery in the economy to even at the high end to summarize. But the follow-up would be, the deferred revenue was very strong this quarter, my expectations. Any comments on renewals, what you are seeing there and any impact from the economy?
Jim Cashman:  I am sorry. (inaudible). No. What I have been saying is because that's one of the first things we track. Renewal rates have continued to be quite strong. And that would be one of the things that we would also look at. It's one thing about people slowing down the acquisition and expansion of technology versus the jettisoning of others. And basically, we have seen that. But I think one thing that is particularly telling is that, I mentioned that we had seven figure orders in 2007. But they were largely, major acquisitions of new technology. In 2008, we had a few seven figure orders, but they tended to be incredibly skewed toward building the deferred balance. And this was happening even at the end of the year as companies were already starting to sense that. So, the basic thing is a lot of the recurring base currently is staying and what we are observing right now indicates that that's good. But your earlier comment, I didn't mean to gloss over that. You basically alluded to the fact that, no, our business plans do not assume that there is going to be a magic recovery. If there is, we are in great shape to be able to participate in that. But we are not counting on that in our cost structures. That's what I meant by looking at the margins and the other things. So, we can go up from that standpoint, but apart from the economy versus the close rate, those things are linked, but they are not identically the same. Even if the economy is down, we could see some increase in closure rates as at least customers see more light at the end of the tunnel. It's also not guaranteed.
Operator:  And our next question comes from Sterling Audi from JP Morgan. Please go ahead. Your line is open.
Sterling Audi - JP Morgan:  Thanks, hi guys. Looking at the guidance, specifically for the March quarter versus December quarter results, can you comment were there any deals that actually you closed early? In other words, did you pull forward any deals to hit the December numbers?
Jim Cashman:  Not really. I mean, there's always I mean, keep in mind there's always, particularly at this scale of business, there's always a couple of things that slip forward and if anything, I would say that we had less that moved forward this period. And I think it was largely because a lot of people were waiting to see, okay, well there's going to be some policy shifts that may or may not affect, we don't want to be the first in the queue and get caught unaware. We start to see that additional discretion being done in the latter parts of Q4. And we saw them continuing. If anything, even getting a little stronger in Q1 as new governments took hold and what will happen with various actions that are going on. And so we did see that slowing down. But even if the economy doesn't pick up, there are certain elements of the uncertainty that become at least more certain as time goes on. We really just don't know. So we are not banking on any prediction of wholesale trends in that.
Sterling Audi - JP Morgan:  Okay. And could you comment in terms of what you saw in the quarter in terms of pricing versus the number of seats. Meaning, did you see increased discounting or lower prices to close deals and offset by a high number of seats, or did pricing hold consistent and then the seat count came in relatively stable to your expectation?
Jim Cashman:  Actually, what I mentioned and I meant to say this earlier, if I didn't, I will apologize to everybody. The ASP's of all our mainline products stayed basically the same. In fact, I think they were even slightly up from last Q4. You always have to kind of look at the seasonal kind of adjustments. There were at the low end, basically they were stable. They were flat at the low end other than the fact that we have normal purchase decisions that are not part of any discounting methodology. They are just part of volume purchase when people do mass desktop deployments. So we saw those be very stable. So, in general, the discounting, at least any major discounting that would have to cross by approvals at this level, they weren't coming through there, albeit customers were talking about budget pressures during that thing. But there really wasn't any major trend in that direction.
Operator:  And we will take our next question from Steve Ashley with Robert W. Baird. Please go ahead, sir, your line is open.
Steven Ashley - Robert W. Baird:  Thank you. I was wondering if you could give us some kind of insight into what you are expecting for Ansoft in terms of revenue contribution for the first quarter and for the full-year.
Jim Cashman:  Well, the first thing I would like to say is that in general, Ansoft has been traditionally more of a high technical content sale to those particular class of end users. And they have been more linked, or at least more drawn economically to cycles in the electronics industry. As such, historically if you look back at the numbers, you would see how it tends to follow some of that trend. And since again, they are a greater proportion of paid-up licenses, of course, that tends to exacerbate the impact of that. With that in mind, in the Q1 we are looking at the low to mid-20s roughly. And for 2009, we are looking north of $100 million but south of $120 million if you looked at kind of a range.
Steven Ashley - Robert W. Baird:  Very helpful. Thanks. And in terms of maintenance, would you expect that to increase in dollars sequentially in the first quarter of '09?
Jim Cashman:  Basically what I talked about again, we are doing is even if there is unpredictability in the paid-up line, gross pipelines increasing, anecdotally customer demand albeit filtered via our sales entities going and improving. There is unpredictability there because of the flow of paper coming through. However, in the recurring base, keep in mind that first of all, we have got pretty strong renewal rates, and it tends to build up overtime, benefiting from the previous sales that have happened before. So we would expect that to stay pretty solid and start to move up. But there is a couple of other things. For instance, we have the Ansoft standpoints. So again, I think some of that you will see in the non-GAAP even if it's there's that non-GAAP, GAAP recognition in some of that. And again, as I have mentioned the previous sales bump. So, that's what I meant by continuing to, even at the floor of our assumptions we have got a solid foundation. We have got, I think, really good recurring revenues solidifying all this. And we have been trying to pay pretty close attention just to see if we see a trend line toward people saying, we can't even afford to remain and frankly, we haven't seen that to this point. Did that cover you? Hello?
Operator:  And our next question comes from Mark Schappel with the Benchmark Company. Please go ahead, your line is open.
Mark Schappel - Benchmark Company:  Hi. Good morning, along with the previous question, Jim, if you could give us a sense of what your assumptions are for organic revenue growth in the core business for 2009.
Jim Cashman:  Well basically, there's still going to be a lot of license sales going through. But if you look at the core growth, it's probably going to be at the low end, relatively flat, probably at the mid-point still, a little bit, and upper single digits at the upper end. And by the way, I will mention that that's all excluding currency effects. And the comparables are going to be or the currency impact is going to be pretty steep. I mean, unless currencies take another extreme left turn over the next few months.
Mark Schappel - Benchmark Company:  Thank you.
Operator:  And our next question comes from Greg Halter with Great Lakes Review. Please go ahead, sir, your line is open.
Greg Halter - Great Lakes Review:  Yes. Thank you. As you did on the last call, can you comment on whether or not there is any long-term deferred revenues and/or what may be from Ansoft?
Jim Cashman:  Well, first of all, there is some deferred from Ansoft, not at traditional ANSYS levels. That's essentially based on the revenue recognition things. But that will show up in our non-GAAP. Now in the long term, yes, we do have a small amount which I think is around seven a little under $8 million in terms of long-term defer. And again, we only count that if it's money and commitments that we have received. Not contractual things that talk about multi-year but that we haven't been paid for. So yes, there is some of that that shows up. Probably, I think somewhere, can you check me on this? It's probably around $25 million in terms of an Ansoft total that we would see in the equivalent non-GAAP deferred revenue balances.
Greg Halter - Great Lakes Review:  And that number is not in the 166 I think it is?
Jim Cashman:  Well, if you look at the 166, the $7.7 million is not there. I believe in the non-GAAP that the Ansoft $25 million is in fact there.
Operator:  Our next question comes from Ross Macmillan with Jefferies. Please go ahead, sir, your line is open.
Ross Macmillan - Jefferies & Company:  Thanks. So just really going back on to kind of mix and the guidance, historically, lease revenues, leased licenses have been flat to slightly up into Q1 and then for each subsequent quarter to a year up sequentially. Should we expect to see the same pattern this coming year? In other words, I guess the question is there's no change to that renewal rate on leases.
Jim Cashman:  The renewal rates, no change, I mean, very little change. I am sure there are microscopic changes. But in general, holistically, very little change. If you look in aggregate, we would not see a major shift in there. But I will put two caveats. First of all is the effect of the blending of the Ansoft business, which really historically was not lease based or very little at all. And the secondary standpoint, and this is one that we are just preparing for because it did happen, it did happen post 9/11 and during that dot.com bubble burst standpoint where short-term people were doing leases even when they normally would be purchasers of licenses. With the idea that ultimately they would change that when things became a little more flexible from their standpoint. So, we have been hearing in this corner that maybe some of that is happening. I don't think it's going to be a huge impact, but we really don't know. And the bottom line is as long we are getting customers, building that foundation, it adds the recurring base. It adds to a whole range of things. You know, all things equal, we are just happy when they acquire more software. Maria, did you see anything different from your perspective?
Maria Shields:  Yes, Ross, one thing that we have been hearing from the field is that from both the channel and the direct sales force is some of what we are starting to see in Q1 is as companies let go of some of their engineering and perhaps outsource some of their problems to consulting firms, those consulting firms tend to lease because they are not long-duration contracts, they are more fixed term. So, we are seeing some trend, particularly on the low end, in the trend towards the lease model. But you won't see the impact of that until moving into Q2, Q3, and Q4.
Ross Macmillan - Jefferies & Company:  So, just to be clear, that impact that we are talking about is potentially an accelerator for the leased piece, right, versus the paid up or perpetual, that's what we are talking about?
Maria Shields:  Yes.
Ross Macmillan - Jefferies & Company:  So if anything, that sequential trend could begin to almost accelerate relative?
Maria Shields:  Right.
Jim Cashman:  I would say build. I think accelerate may be that’s why a second derivative.
Ross Macmillan - Jefferies & Company:  Fair enough.
Maria Shields:  Yes, because of how the lease revenue recognition transpires.
Ross Macmillan - Jefferies & Company:  I understand. On the Ansoft side, it was helpful giving the numbers there, Jim. I just am curious. I think that business historically was 20% into semi OEM and then 80% to electronics, both consumer and then industrial. But is it fair to say that [unmass] the whole thing is going to be basically impacted by some of the trends that we are seeing in the electronics industry today? And is that really as you are thinking as you think about the current year?
Jim Cashman:  No. That a probably pretty good aggregate. The general trend of what you said, the 20/80, that's pretty close. I don't want, I am sure it would be something to that. And yes, it has been more associated with those purchase patterns. The one thing I can say pretty certain is that as we continue the integration efforts and those are things you just don't turn on a light switch and it happens. But as they continue on, it tends to start to get more traction in some of the broader mainstream accounts, which tend to be the bigger names. But that's something that allows us additional optimism for the future. But again, not banking on that wholesale thing going on, we do see some of the effects that you just mentioned in terms of the electronics industry and the previous selling models.
Operator:  Our next question comes from Steve Koenig with KeyBanc Capital Markets. Go ahead, sir. Your line is open.
Steven Koenig - KeyBanc Capital Markets:  Good morning. Thanks for taking my question.
Jim Cashman:  No problem.
Steven Koenig - KeyBanc Capital Markets:  I would like to understand a little bit better. I was struck by the growth in Europe in Q4. And I would like to understand a little bit about what drove that and what you are expecting going forward, maybe in your guidance at the low end and the high end. And related to that, Jim, did your constant currency numbers, can you quantify the Ansoft contribution, if any, in that?
Jim Cashman:  Well, if we are talking about Europe, keep in mind the Ansoft business historically in Europe was quite low. So it had its biggest impact in Asia-Pacific for us. But to put things in perspective, yes, there's no doubt that if we look at the Q4 business geographic, if you look at it was positive in an organic sense even in light of the currency impact. So, I don't know if you were asking the question, why it was as high as it was or why it wasn't higher. In general, we were quite happy with that. And again, it was driven by all of the basic core premises that we talked about. It was dragged down even more proportionately from the fact that the British pound really took a pretty significant drubbing, even more so than the Euro, at least in our standpoint. If you look at the overall year, of course, it was, again the same standpoint, but I would say that if you look at it, it's probably fairly similar throughout the year, a lot of differences. Keep in mind when we were always downplaying the Europe growth, when we were getting the currency bump, and when you flattened out all of that it was fairly consistent. Now there was a slight bump from an Ansoft component, but it really was only a few million in terms of revenue upside.
Steven Koenig - KeyBanc Capital Markets:  Jim, if I may just then inquire about your expectation for 2009, how do you kind of factor Europe into that and how do you think about growth with constant currency relative to North America. 
Jim Cashman:  In constant currency, I think it will be kind of on par with the overall standpoint. It's got a disproportionate chance of upside. But in our range, it could be slightly negative to the single digits kind of standpoint. But again, in constant currency that comes up quite a bit. So, if we look at it still building, building a lot of foundational growth, a lot of recurring revenue base, and building customer and market share during that timeframe, and again, if the economic uncertainties each of which has its own little microcosm even though they are all factored by the macro, each local geography has a slightly different story. The net trend is that when any one of those pop up, we do have the ability to grab them. But we are applying basically the same methodologies, somewhat modulated by the things we are hearing from the field. But again, not banking on those and certainly not building them into the cost structure. Europe still continues to be a very strong market. We have got a strong organization there. Yes, we are fighting the currency headwinds and the overall macro standpoint. But in terms of ongoing customer attainment, building solidity of business, it's still a good part of our business.
Operator:  And our next question comes from Blair Abernathy with Thomas Weisel Partners. Please go ahead, your line is open.
Blair Abernathy - Thomas Weisel Partners:  Thank you. Just another question on the electrical business. Jim, I am just wondering two things here. Can you comment around now that you have had your hands around the business for awhile, what are you seeing in terms of end markets? Are your customers buying primarily? How is applying behavior in coming out of the R&D budgets versus the CapEx budgets for your customers? And then secondly, how are you looking at shifting the Ansoft model to more of a lease model from a paid-up model? Sort of what are you doing to drive that?
Jim Cashman:  Well, first of all, first of all historically we have never done anything to sway lease versus license. We try to provide a number of options out there that allow people to buy and sometimes in different timeframes as they want. So, that normally follows the contour of the decisions of the purchasing company. And by the way, that's why you are seeing a very stable lease base as opposed to one that fluctuates and swings to create a different financial picture. At the end of the day, we just want more people utilizing the software and build this particular base. Now given that, as we get into the broader base and Ansoft becomes more spread out with the broader ANSYS customer base, obviously some of the things that might have been procured by those companies favoring lease, they will probably shift more toward, I mean continue to be lease as they augment their products with Ansoft. I think those are the only dynamics you are going to see. Nothing artificial that we are doing. Now in these timeframes, I think you asked the question about capital budgets versus R&D spending, which clearly, of course, is different than IT spending. But I need to decouple the R&D spending unless my colleague disagrees here. There's one issue of R&D, are they going to have access, are they going to invest in it? Now in some cases then even subject to that, if they decide that they need to invest in this for their product innovations, then the question is how do they finance that and do they do it through capital which normally comes from corporate approvals. And if that happens, then the normal purchasing thing happens. Very often if for some reason capital budgets are restrained, that's disproportionately they will do a short-term lease from their budget to be able to get access to the capabilities and go forward. And I think there was a final question, a focus on this on the patterns we see in terms of the electronics industry. And the only thing I will say is that in general, the OEMs follow one cycle, but a lot of our customers, you look at the amount of electronics content that's going into a lot of their new product innovations. We see it with, like I said, the alternate drive systems, safety and control systems and things like that. And when that happens, that's an awful lot of places where innovations are happening either to gain market advantage or to comply with government mandates, be they funded or unfunded. So we start to see some of those things happening, but again, we are only a handful of months into this and in a real complex environment. So, we want to make sure that we are maintaining the elements of the good business while also maximizing what we can get on the confluence of those.
Blair Abernathy - Thomas Weisel Partners:  Okay, great. Thank you.
Jim Cashman:  Okay.
Operator:  And our next question comes from Greg Halter with Great Lakes Review. Please go ahead, sir, your line is open.
Greg Halter - Great Lakes Review:  Yes. Thank you for taking me again. Wondering if you could break down the business for the year by industry. I don't know if you have that.
Jim Cashman:  Are you talking about the 2008, actually for 2009, we don't know. That's one level of uncertainty. For 2008 we still sort through some of that information. So, we basically don't have that at this particular case. But I will say there's a number of camps, as I mentioned, we saw growth in all industries, even the ones that you would say, that's counterintuitive. You say auto industry is hurting, to still see that growing. The proportions of the pie between the industries might change, but I would say that we are safely within the bounds that there's no industry that accounts for more than 20% of our revenues. That diversification element still persists. Again, we don't have we are not top heavy in any customer or things along that line. So, we continue to diversify. If you look at it, as I mentioned, energy sectors became continuing to grow. We see some actually interest in that may be premature. But some of the research going on in the biomed industry and actually applying simulation techniques to that is good. As I mentioned, the portfolio for airline efficiency, things like that, the turbo and aero industries, they are needing to squeeze out efficiencies, that was going up. Also efficiency in defense that seems to when there's major programs, we do well with that. When there's dwindling programs and competitiveness increases and tends to increase. And I also mentioned that some of the infrastructure aspects and heavy equipment elements are in fact going down. Probably chemical processing and things like that, maybe slightly down a little bit, at least as a percentage of the pie. But this is all very preliminary information, and keeping in mind that we've just kind of gone through all of the basic financial processing for the year. Something like that. That's something that we start to look at in earnest. You know, just to refresh the information. I can give you information that was six months old, but that really wouldn't answer the question you just asked for total year.
Greg Halter - Great Lakes Review:  Okay. That's fine. Do you have any customer that's more than 5% of your revenues?
Jim Cashman:  Off the top of my head no. It's kind of like that was my earlier question saying there's no customer where we are top heavy. And even if you looked at the lists of the top 25 and the top 50, I will give the same disclaimer of looking through and being able to take time to sort through some of the numbers. But there's nothing that's really made major changes along that line. So, if you took top customer, top 25, top 50, and say what's the exposure, the lumpiness of that, really not a lot of exposure there.
Operator:  And our next question comes from David Hines with Needham and Company. Please go ahead, sir, your line is open.
D.J. Richards - Needham and Company:  Hi, thanks a lot guys, this is D.J. Richards. He has been trying to dial in. I don't know he is having trouble. But I will ask the question in his place.
Jim Cashman:  Sure.
D.J. Richards - Needham and Company:  Jim, can you help me, I guess just thinking about the seasonality of the Ansoft business. Historically, they have been they were an April fiscal and that was just historically their strongest quarter.
Jim Cashman:  Yes.
D.J. Richards - Needham and Company:  You mentioned earlier your expectations, I guess, for revenues. In the kind of low 20% range, which would imply a pretty significant down year-over-year, in the range, I guess, of 30% plus. I guess have there been efforts on your end to realign sales incentives to remove some of that seasonality, or is it in fact I guess you guys are just expecting. 
Jim Cashman:  I got to tell you, You lost me on the 20% and 30% kind of numbers maybe. But in terms of the only thing we do, if you look at the contours of the ANSYS business overtime, we tried to predicate that on having steady, sustainable business, high, recurring revenues and the like. And from that standpoint, basically removing some of the hockey stick impact both inter-quarter and intra-quarter standpoints. That's still something that we want to continue to build. In terms of trying to inordinately create that, trying to hit a bunch of microswitches and get a lot of unintended consequences. There's not major groundswells in that. In terms of the overall business model that allows that to grow, it's a little, we still see that evolution toward the model. But not by trying to do an abrupt slamming of it. But, I want to go back to that one thing. I didn't quite understand when you said 20%. 
D.J. Richards - Needham and Company:  So you had mentioned Ansoft revenues coming in the low 20s, I think you had said.
Jim Cashman:  Low to mid-20's for Q1.
D.J. Richards - Needham and Company:  And I think they did roughly $34 million in the March '08 quarter. So that would imply a nearly down 30% quarter.
Jim Cashman:  Again, what you are seeing is the comparable. Quite frankly, when you see a lot of com plans, they are geared toward the end of the year, and so that particular thing changes quite a bit. Do you have anything, Maria, maybe you have a different take or maybe you are hearing it differently. 
Maria Shields:  No. I think D.J., one clarification, they didn't have a March quarter end, they had an April quarter end.
D.J. Richards - Needham and Company:  Four million in the quarter ending April.
Maria Shields:  And part of their year-end is also influenced by April being the first month of the new budget year for Japan.
D.J. Richards - Needham and Company:  Got it. Okay. That's helpful. Thanks.
Jim Cashman:  Yes. I think it's one of those things we don't necessarily want to read anything into a very small time slice. It's kind of like it's 30% hotter here in Pittsburgh than it was the same day last year. That doesn't mean that Pittsburgh on total is 30% hotter.
D.J. Richards - Needham and Company:  Sure. Okay.
Operator:  Our next question comes from Sanil Daptardar with Sentinel Investment. Please go ahead sir, your line is open.
Sanil Daptardar - Sentinel Investment:  Thanks. Jim, on the guidance first. When I look at the prior guidance, particularly after the third-quarter conference call, and today's guidance it's about $60 million shortfall on the mid-point. How much of that shortfall you can characterize it because of the currency effect and because of the economy? And if it's because of the economy, how much of that might be a shortfall on Ansoft?
Jim Cashman:  First of all, basically the entire, if you look at the fundamentals of the business and the customer relationships and thing like that that we have, basically there is not much change even from the trajectory. So what that means is virtually all of it is the economy and you can kind of almost then compute. After the economy takes hold and all of that is reflected in, you can almost back out to what the currency impact was. But it is, it's all macro and that's why we are saying we're not going to change the world economy, but we can continue to build off our solid foundation of business and continue to generate good cash flows and net income. When things start to recover, whatever timeframe that is, we are to do that. And then was there was a sub-question on Ansoft. I am sorry. I forgot.
Sanil Daptardar - Sentinel Investment:  Yes. It wasn't kind of broken down into currency. What was the shortfall because of the currency and because of the economy. And if it's because of the economy, what would have been the portion that would have attributed to Ansoft?
Jim Cashman:  Basically, it would follow the same standpoint. Probably not as much because of the stronger Asia-Pacific business, the strong Japan thing. It's just because something had a major shift over the last year doesn't necessarily mean it's going to follow that same trend for the next year. But again, if you look at it actually Ansoft had a pretty similar kind of percent of international business, albeit in different parts of the globe. And from that standpoint, that actually provides us a little diversification, too. But you will see in aggregate the same kind of trends. I think the evolution away from being a follower largely following the electronics industry is something you will see ameliorate over time though.
Operator:  It appears there are no further questions in the queue at this time. Mr.Cashman, I would like to turn the conference back over to you for additional or closing comments.
Jim Cashman:  Okay. Well thanks, everyone. So, basically from what I have just said here, the emphasis is going to be a continued focus on execution in tough times and effective integration, which a lot of you have alluded to here. Basically, it's supported by the history I think we have demonstrated over the years. So, customer acceptance of our existing vision, unique value proposition, expansion of our product portfolio with the release of R12 coming up and the addition of Ansoft, basically only bolster that enthusiasm even while we are in the middle of what everybody is in the middle of. So, basically we continue to be propelled by a strong combination of solid business model which is providing that foundation for us. We have got loyal customers. We have talked about the fact that their retention and renewal has remained high. We have got the channel partners that have been with us through a number of different economic cycles over the years. We have got great technology as a result of many, many years of accumulated R&D and again, all of the employees that got us to that point. So, well armed for defensive purposes through this. And also with the products and organization ready to be able to rise up with the economy as it happens. And maybe even a little bit above that. So, basically I would like to thank everybody for the call. And see you next quarter.
Operator:  This concludes today's conference. Thank you for your participation. You may now disconnect your line.